Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Cohen & Steers’ Third Quarter 2012 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, October 25, 2012.
 I would now like to turn the conference over to Sal Rappa, Senior Vice President and Associate General Counsel. Please go ahead, sir. 
Salvatore Rappa: Thank you, and welcome to the Cohen & Steers’ third quarter 2012 earnings conference call. Joining me are Co-Chairman and Co-Chief Executive Officers, Marty Cohen and Bob Steers; our President, Joe Harvey; and our Chief Financial Officer, Matt Stadler.
 Before I turn the call over to Matt, I want to point out that during the course of this conference call, we may make a number of forward-looking statements. These forward-looking statements are subject to various risks and uncertainties and are important factors that could cause actual outcomes to differ materially from those indicated in these statements. We believe that some of these risk factors are described in the Risk Factors section of our 2011 Form 10-K, which is available on our website at cohenandsteers.com. I want to remind you that the Company assumes no duty to update any forward-looking statements.
 Also, the presentation we make today contains pro forma or non-GAAP financial measures, which we believe are meaningful in evaluating the Company’s performance. For detailed disclosures on these pro forma metrics and their GAAP reconciliations, you should refer to the financial data contained within the press release we issued yesterday, which is available on our website.
 Finally, this presentation may contain information with respect to the investment performance of certain of our funds and strategies. I want to remind you that past performance is not a guarantee of future performance. For more complete information about these funds including charges, expenses and risks, please call 800-330-7348 for a prospectus.
 With that, I’ll turn the call over to Matt. 
Matthew Stadler: Thank you, Sal, good morning, and thanks everyone for joining us. Yesterday, we reported net income of $0.23 per share compared with $0.22 in the prior year and $0.36 sequentially.
 The third quarter of 2012 included an after-tax expense of $0.21 per share primarily due to costs associated with the offering of Cohen & Steers Limited Duration Preferred and Income Fund, a closed-end mutual fund. After adjusting for these items, earnings per share for the third quarter of 2012 would have been $0.44.
 Revenue for the quarter was a record $71.3 million compared with $61.6 million in the prior year and $67.4 million sequentially. The increase in revenue from the prior year was attributable to higher average assets resulting from market appreciation, partially offset by net outflows primarily from sub-advised accounts. Average assets for the quarter were a record $45.2 billion compared with $42.9 billion in the prior year and $43.6 billion sequentially. Our effective fee rate for the quarter was 55.7 basis points, up from 55 basis points last quarter. The increase was primarily due to a continued shift in the mix of our assets under management.
 Open-end and closed-end mutual funds now make up a larger percentage of our overall assets under management. Operating income for the quarter was $12.2 million compared with $22.4 million in the prior year and $26.1 million sequentially, excluding the closed-end fund operating costs, operating income for the third quarter of 2012 was $27.9 million.
 Our operating margin adjusted for the operating costs increased to 39.1% from 38.7% last quarter. The 40 basis point increase was the result of a lower G&A to revenue ratio. Pretax income for the quarter was $15.2 million net of non-controlling interests, which represents third party interest in the funds we have consolidated, compared with $17.6 million in the prior year and $25.1 million sequentially. Excluding the operating costs pretax income for the third quarter of 2012 was $30.9 million.
 Assets under management totaled a record $44.9 billion at September 30, an increase of $554 million or 1% from the second quarter. The increase in assets under management was attributable to market appreciation of $1.2 billion partially offset by net outflows of $629 million.
 In September 30, our U.S. real estate strategy comprised 50% of the total assets we manage, followed by global and international real estate at 25%, preferred securities at 9%, large cap value at 8% and global infrastructure at 7%.
 Assets under management in institutional accounts totaled $24.6 billion at September 30, a decrease of $955 million or 4% from the second quarter. The decrease was due to net outflows of $1.7 billion, the majority of which were in global and international real estate strategies from sub-advised accounts, partially offset by market appreciation of $727 million. If you annualize third quarter flows, institutional accounts had a 26% decay rate.
 Our open-end funds had record assets under management of $12.5 billion at September 30, at an increase of $414 million or 3% from the second quarter. The increase was due to market appreciation of $250 million and net inflows of $164 million. If you annualize third quarter inflows, open-end funds had a 5% organic growth rate. This marks the 14th consecutive quarter of net inflows into our open-end mutual funds. Assets under management in closed-end funds totaled $7.8 billion at September 30, an increase of $1.1 billion from the second quarter; the increase was primarily due to the launch of Cohen & Steers Limited Duration Preferred and Income Fund, which raised $1 billion including leverage. $889 million of which was raised in the third quarter.
 Assets under advisement, decreased by $1.7 billion or 14% from the second quarter, the majority of the decrease was from model-based strategies related to net outflows attributable to our sub-advisory business in Japan.
 Moving on to expenses. Sequentially, expenses increased 43%. The increase was primarily due to higher employee compensation and benefits, distribution and service fees, and G&A. Excluding the operating cost, expenses were up 5% sequentially. After adjusting for one-time costs, the compensation to revenue ratio remained at 34%, consistent with the guidance we provided on our last call. Distribution and service fee expense included $14.4 million of compensation payments made to the underwriters in connection with the closed-end fund offering.
 Excluding these payments distribution and service fee expense was in line with the increase in the average assets of our open-end no load mutual funds. G&A includes approximately $411,000 of organizational costs associated with the fund offering. Excluding these costs, G&A came in lower than the guidance we provided on our last call.
 On a sequential basis, non-operating income increased $3.9 million net of non-controlling interests. The increase was primarily due to gains from our seed investments in Cohen & Steers Real Asset open-end fund and global real estate long-short funds.
 Turning to the balance sheet, our firm liquidity totaled to $199 million, the same as last quarter as cash provided by operations was used to pay for the operating costs. Stockholders' equity was $261 million compared with $254 million at June 30.
 Let me briefly review a few items to consider for the fourth quarter. Our projected tax rate for 2012 decreased to approximately 35.5% from 36%. The change in estimate is primarily due to lower projected U.S. taxable income resulting from deductable expenses incurred in connection with the closed-end fund offering.
 The cumulative effect of this change in estimate is recorded in the third quarter resulting in a tax rate of 32.7%. We expect our effective tax rate for the fourth quarter will be approximately 35.5%. With respect to compensation, we expect to record a 34% compensation to revenue ratio, and finally we expect G&A for the fourth quarter to be in line with the third quarter excluding the closed-end offering costs.
 Now I'd like to turn it over to Bob Steers. 
Robert Hamilton Steers: Thanks, Matt, and good morning, everyone. As Matt indicated the third quarter was strong, if not record-breaking on many fronts. Record asset management revenues and total assets under management, a milestone that we are very proud of and reflects our unique mix of income and real assets, investment strategies, the diverse and broad reach of our distribution relationships and solid, absolute and relative return to investors. Strong retail sales momentum in the quarter also helped us reach a record $12.5 billion of retail assets under management.
 Turning to performance, all of our portfolio strategies delivered positive returns in the quarter. Our international REIT portfolio has led the way with a return of approximately 9.8%. This marks a potentially significant turnaround for the stocks of real estate companies located outside the U.S. which have more recently been challenged by soft economic conditions.
 As most of you are aware, our preferred securities portfolios have experienced meaningful asset growth this year and investment performance remains very strong. Returns for the last quarter and 12 months are 7% and 23% respectively. As importantly our preferred returns have exceeded their respective benchmarks for the related 12 months by over 500 basis points, and for the past 8 consecutive years by an average of more than 330 basis points per year, a truly remarkable record performance.
 U.S. REITs took a breather in the quarter with modestly positive returns while global listed infrastructure and large cap value posted solid increases of 5.4% and 6.1% respectively. Our newest fund, Cohen & Steers Real Assets Fund in only its second full quarter of existence delivered a very strong 7.6% returns slightly exceeding its benchmark.
 We believe this strategy in particular, is very well positioned for the environment that we anticipate for at least the next 5 years. With regard to asset flows, the value of having diverse global, retail and institutional distribution partners was never more evident than in the latest quarter.
 Even as we continued to experience institutional net outflows mainly related to our sub-advised REIT funds in Japan, our retail sales group generated strong open-end fund sales while simultaneously raising $690 million of equity for our Limited Duration Preferred Securities Fund, which with leverage is now over $1 billion.
 Open-end fund flows increased to $1.2 billion in the quarter, a 13.8% increase from the prior quarter. Our preferred securities in U.S. REIT Funds led the way with strong gross and net inflows. And as I already mentioned, retail assets under management are now at a record $12.5 billion and growing.
 On the institutional side, the environment has been more challenging with the resulting net outflows of $1.7 billion in the quarter. Of that amount, approximately $1 billion was attributable for our sub-advisory business in Japan with the balance resulting from the termination of 4 separate accounts.
 As we’ve discussed in the past, the outflows from Japan are not performance-related but stem from reduced levels of fund distributions. The majority of our outflows in the quarter were from our U.S. REIT portfolios in Japan, which reduced their distribution levels in July. And not surprisingly, there’s a direct correlation between distribution cuts and outflows.
 That said, the appetite for U.S. REIT Fund in Japan is still very strong, and in fact in the quarter, there was over $2 billion of inflows into the U.S. funds away from Cohen & Steers. We’ve just returned from Japan where we’ve been having very productive meetings to rachet up our joint marketing and sales efforts aimed at mitigating increment outflows, which I believe given the current favorable market environment there is readily achievable.
 With regard to the separate account closings, they were a result of underperformance in our global REIT strategy, and specifically underperformance in Asia. To address this issue earlier this year, we implemented a number of changes including the addition of experienced senior portfolio management to our team in Hong Kong.
 Lastly, since the quarter-end, mandates in excess of $115 million have funded, which still leaves $320 million of mandates won but still unfunded. The pipeline of RFP activity, which has been soft for much of the year, appears to be improving, which potentially bodes well for next year.
 At the end of the day, we’re convinced that our suite of real asset and income producing equity strategy is well positioned for the environment today, and especially looking to the future. In addition, the substantive measures that we’re implementing to remediate our investment underperformance in Asia and to reverse the outflows in Japan, give us confidence that we will achieve the desired results. We like where we’re currently positioned and we’re as optimistic as ever in our future growth prospects.
 So I’m going to stop there, and open the floor to questions. 
Operator: [Operator Instructions] And our first question comes from the line of Adam Beatty with Bank of America Merrill Lynch. 
Adam Beatty: First a question on the assets under advisement, and I guess some of the outflows there. More broadly, how well does that track with the sub-advised or-- the regular sub-advised accounts, I guess in my mind. It seemed there are still assets were growing pretty rapidly. I’m not sure whether that was false in our market, but then reversed a little bit. How should we think about tracking that going forward? 
Robert Hamilton Steers: Well, the bulk of the assets under advisement are also sub-advised assets from Japan, and in fact, the majority of that, our U.S. REIT portfolio. So you should think of that portion of the assets under advisement behaving roughly the same as our traditional Japanese assets under management. 
Adam Beatty: Got it. Can you give us any color on the fee rate differential between say the model-based strategies and the other sub-advised? 
Robert Hamilton Steers: We really don’t comment on fee rates, but there wouldn’t be much of a difference there. 
Adam Beatty: Okay. That’s helpful. I appreciate it. And then turning towards the report you guys provide on a monthly basis of the U.S. open-end gross and net flows, which is great. How would you characterize the difference between that and so the overall open-end portfolio, there was a bit of a divergence in the month, maybe in the quarter. 
Robert Hamilton Steers: Yes. I think it’s over 90% of the vehicle and the difference is really that we’ve got some fee caps in Europe that roll up to open any funds for reporting purposes that we don’t include in that monthly, which is provided mostly for the utilities to pickup our U.S. flow. So we exclude the fee caps. That’s the biggest difference. 
Adam Beatty: Okay. Are they concentrated in different strategies? 
Robert Hamilton Steers: Not really. 
Adam Beatty: Not especially, okay. Great, that’s helpful. And then just one last one, just on the current level of the RMZ, looks like we’ve had a bit of a modest correction. Do you feel like that was, that’s a warranted kind of pullback? Is it an opportunity right now or what are your thoughts just in general on the REIT market? 
Robert Hamilton Steers: Look, it’s hard to comment and we won’t comment on whether we think the RMZ is correcting or not, but we’ll make some comments about where we’re at in the real estate cycle, in the fundamentals to real estate securities and the short answer is we’re at a very good point in time in the real estate cycle. What’s different at this time compared with last real estate cycles and this is concentrated in the comment, concerning the U.S., is that, we’ve had very a little supply for a very long time. So even though, the economic recovery has been slower than it’s been in the past, that’s resulting in the very strong fundamentals. So that’s a good starting point, you add on to that what these companies can do in terms of deploying capital and making acquisitions and financing that with very attractive cost of capital that’s resulted in earnings growth that’s in the 8% to 10% range. So our fundamental picture is very good, the stocks have performed very well. What is broadly investor interest in REITs is the fact that they have these in current income, but also they can perform well in inflationary environments. So investors who are concerned about money printing and that after effects of that, we have been drawn to real estate, and REITs as a liquid option for that. 
Matthew Stadler: I would just add, this is truly anecdotal, not technical. but I just came back for a few weeks in Asia and essentially the impression that I get is that the U.S. economy and more specifically, the U.S. real estate market is viewed as the most attractive on real estate market in the world right now. Europe has fundamental issues, various different markets in Asia are dealing with their own economic and risk factors, and the sentiment in Asia was overwhelming the U.S. real estate represents the best risk return proposition going in the real asset category. 
Operator: Our next question comes from the line of Jeff Hopson from Stifel, Nicolaus. 
J. Jeffrey Hopson: Okay. Two questions, one, the mutual fund flows, more recently we’ve seen a little bit of a deterioration in the REIT flows and then improvement in the preferred. Is that something that you think is kind of a new trend, number one? Number two, in terms of the RFP that you spoke about, it sounds like there has been some pickup. So, as you kind of look at, your RFP’s and/or finals, et cetera, any sense of change of the nature of the interest by account type, et cetera. 
Martin Cohen: This is Marty. I will answer those questions, taking the second question first, the RFP cycle has been somewhat seasonal. And now as we are approaching the end of the year, it was a big low with, nothing was happening, and now we’re seeing RFPs in pretty much all of our strategies, but primarily real-estate. But also we’ve seen some infrastructure RFPs and growing interest in our preferred strategy. With respect to the inflows and outflows in real estate, actually the U.S. real estate flows have been pretty steady, notwithstanding some seasonality to them. We seem to have net inflows pretty much every quarter in the U.S. strategies. We have had outflows in our international, and that's probably somewhat performance related. And the real interest in that I think is a combination of the interest rate environment and our really as Bob mentioned is the terrific track record we have in preferred. That has been our strongest inflow strategy for pretty much in the last 6 months. 
J. Jeffrey Hopson: Okay, again on that preferred fund. Would you say anything has changed in terms of distribution or is it just a continuation of the recognition of it being a solid product? 
Robert Hamilton Steers: On preferred fund, we’re pretty much in every channel there. I think there has not been any change in distribution. The RIA market was a little slower to adapt this strategy than the BD market. But they both remained pretty strong. 
Matthew Stadler: On the U.S. REIT question by the way, if you look at growth, our gross flows, they’re actually extremely high. So demand for U.S. REIT strategies remained high whether it’s here or in Japan. We had an up tick in, commensurate up tick in outflows. We still have net inflows in total in U.S. REIT funds, but there may have been some profit taking in the quarter, because they’ve performed well. 
Operator: And there are no further questions at this time. 
Matthew Stadler: Great. Well, thanks for dialing in this morning and we look forward to speaking to you in the New Year. Thanks. 
Operator: Ladies and gentlemen, that does conclude today’s conference call. We thank you for your participation and ask that you please disconnect your lines.